Operator: Good morning, ladies and gentlemen, and welcome to Monro, Inc. Earnings Conference Call for the Third Quarter Fiscal 2019. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, ladies and gentlemen, this conference call is being recorded and may not be reproduced in whole or in part without permission from the Company. I would now like to introduce Ms. Maureen Mulholland, Senior Vice President, General Counsel and Secretary at Monro. Please go ahead.
Maureen Mulholland: Thank you. Hello everyone and thank you for joining us on this morning's call. Before we get started, please note that as part of the call this morning, we will be referencing a presentation that is available on the Investors section of our website at corporate.monro.com/investor/investor-resources. If I could draw your attention to the safe harbor statement on Slide 2 of the presentation, I'd like to remind participants on this morning's call that our presentation includes some forward-looking statements about Monro's future performance. Actual results may differ materially from those suggested by our comments today. The most significant factors that could affect future results are outlined in Monro's filings with the SEC and in our earnings release. The Company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. Additionally, on today's call, management's statements include a discussion of certain non-GAAP financial measures. Reconciliations of such supplemental information to the comparable GAAP measures will be included as part of today's presentation. With that, I'd like to turn the call over to our President and Chief Executive Officer, Brett Ponton.
Brett Ponton: Thank you, Maureen, and good morning everyone. Thanks for joining us today. We delivered another quarter of solid top line and bottom line growth, reflecting strong execution across our business as we continue to make progress on our Monro. Forward strategy. Overall, we achieved comparable store sales of 3.3% in the third quarter when adjusted for one less selling day compared to the prior year period due to the Christmas holiday shift. Importantly, this marks our fourth consecutive quarter of positive comparable store sales and represents the highest quarterly comparable store sales increase since the third quarter of fiscal 2011. Similar to the last quarter, our comp performance was driven by a higher average ticket from improved in-store execution and sustained strength in our tire and brake categories. We believe that these positive top line trends are a testament to our relentless focus on driving operational excellence and delivering a consistent five star experience to our customers. We also believe that they reflect the outstanding efforts and ongoing commitment of our teammates who have enthusiastically embraced the changes we are implementing across our organization to drive increased customer lifetime value and sustainable long-term growth. In addition, we achieved record third quarter earnings per share, while continuing to invest in our strategic initiatives. I would now like to provide an overview of the comparable store sales trends we experienced during the quarter. As illustrated on Slide three, we saw accelerated top line growth in October and November, which was partially offset by a slowdown in comparable store sales in December, resulting from mild winter weather conditions we experienced across our markets. Specifically, while we saw early snowfall above last year's levels in November, which contributed to our top line strength during the month, this was partially offset by limited snowfall in our northern markets in December compared to last year, which negatively impacted comparable store sales in that month. However, the softness we experienced around the holiday period was temporary and we are encouraged by the stronger top line trends we saw in the back half of January, which have led to comparable store sales growth of approximately 2% so far in the fourth quarter. Quarter-to-date, comparable store sales, adjusted for one extra selling day in the fourth quarter of fiscal 2019, were approximately 300 basis points lower than our reported comparable store sales. Moving on to our performance by category, we experienced notable strength in our tire business again this quarter, which represents half of our sales and our largest category. Our optimized tire sales and pricing strategy continues to yield results and drove a 3% increase in tire comparable store sales during the third quarter, making our fourth consecutive quarter of positive tire comp sales growth. Our tire performance was driven by higher ticket and stable unit volume. In line with trends experienced in previous quarters, we also saw sustained momentum with our online tire pricing strategy since we unbundled the price of our tires and installation in the fourth quarter of fiscal 2018, which has continued to drive increased conversion in online service appointments. Turning to our service and repair categories, we continue to capitalize on the strong demand for brakes, delivering double-digit comp sales growth in this category for the second consecutive quarter. Our Good-Better-Best brake packages drove an increase of 12% in comparable brake sales, and we are pleased to report that our optimized brake package pricing, combined with higher brake transaction volume, contributed to gross margin expansion again this quarter. In our remaining categories, comparable store sales were up slightly for alignments and flat for maintenance, while front end/shocks declined year-over-year. For the quarter as a whole, our northern markets outperformed our southern markets. However, as we would expect, we saw our northern markets underperform in the month of December as they faced mild weather conditions. Lastly, new stores added $19.8 million in revenue, including 14.3 million from recent acquisitions. Moving on to Slide 4, we continue to capitalize on accretive acquisition opportunities to build a strong, scalable platform for growth. We are pleased to announce that we signed a definitive agreement to acquire 12 stores in Louisiana, expanding our store footprint in a new market and building out our geographical presence in the South. These locations are expected to add approximately 15 million in annualized sales, representing a sales mix of 35% service and 65% tires. The acquisition is expected to close in the fourth quarter of fiscal 2019 and to be break-even to diluted earnings per share in fiscal 2019. In addition, we completed the previously announced acquisition of five stores in Ohio. These locations are expected to add approximately 5 million in annualized sales, representing a sales mix of 70% service and 30% tires. We also completed the previously announced acquisition of 13 stores in Florida, which are expected to add approximately 12 million in annualized sales, representing a sales mix of 65% service and 35% tires. These acquisitions fill in existing markets and are expected to be break-even to diluted earnings per share in fiscal 2019. Following an extended due diligence period, we decided not to pursue further the previously announced potential acquisition of seven stores located in our existing markets, representing 8 million in annualized sales. Overall, acquisitions announced and completed thus far in fiscal 2019 collectively represent 87 million in annualized sales. Acquisitions remain a key pillar of Monro's growth strategy, and we have been encouraged by the significant opportunities for consolidation we continue to see in the marketplace. We have a robust M&A pipeline and currently have over 10 NDAs signed with targets that have been between five and 40 stores each. We believe that we are well positioned to execute on these targets. We believe that the implementation of our standardized in-store operating procedures and brand standards across our store base, which I'll discuss in further detail in a moment, allow us to more effectively integrate acquisitions and will drive higher ROI going forward. Lastly, we opened three greenfield locations during the third quarter, bringing our total greenfield store openings to 18 in fiscal 2019. Turning to Slide 5, I am pleased to report that the execution of our Monro. Forward strategy continues to progress as anticipated, and I'd like to provide an update on the important steps we achieved during the third quarter. As a reminder, our Monro forward initiatives, unveiled in May of last year, are built around four areas of focus in order to increase the overall lifetime value of our customers and create a scalable platform for sustainable growth. Starting with our initiatives to improve the customer experience, we reached a key milestone during the quarter with a successful implementation of our new operating procedures, which we call, the Monro Playbook, as well as a refreshed appearance across our 31 pilot stores in Rochester, New York. Through these efforts, we have taken major steps to improve our customers' in-store experience and help ensure that we deliver a five star experience to them every time at every one of our store locations. First, we have taken an educated -- education-centered approach to the in-store customer selling process and trained our teams to execute our Monro Playbook consistently across to all locations. Our Monro Playbook is made up of standardized in-store operating procedures that include clearly defined roles and responsibilities for our teammates with a focus on service quality. Our goal is to position our teammates as expert advisers, who can properly educate our customers about their vehicle needs and provide them with clear options, so they can choose the right services for their vehicles. We expect that this clear and consistent selling approach, coupled with our stronger merchandise strategy across good, better and best product options, will be instrumental in driving higher in-store conversion. To complement our Monro playbook, we also established clear brand standards to align the appearance of our stores and further drive consistency across our 1,197 locations that currently include a wide range of stores and formats. Overall, we want our stores to make positive lasting impressions on guests and the neighborhoods we serve. We started the implementation of our brand standards with the re-imagining of our 31 pilot stores completed during third quarter. All of these renovated locations now have a more consistent and modernized appearance. As depicted on the slide, they look more inviting and contemporary and are more functional. So far, the feedback from our teammates and customers has been overwhelmingly positive. Our teammates are energized by the changes we have made in the stores and are proud of the actions Monro is taking to better serve our customers with a simplified in-store selling process. While still in the early innings, we are very excited about the results we have seen at our pilot stores. After implementing our Monro Playbook and completing the stores' re-imaging, we've seen improved customer satisfaction and conversion at these stores. Following the successful completion of our pilot program, we are currently finalizing purchasing negotiations with our re-imagining suppliers to scale this initiative and look forward to rolling out our brand operational standards across our store base and modernize our store portfolio over the next three to five years. In the near-term, we expect to refresh the appearance of approximately 70 stores in our southern markets in the first quarter of fiscal 2020. As previously discussed, we are determining the appropriate scope of refresh needed for each of our stores by examining their age, size and market demographics to ensure we are investing the appropriate amount of capital to achieve the highest possible returns. As part of the initiative rollout, we will prioritize our newly acquired stores as we believe the implementation of our standardized in-store operating procedures and brand standards will benefit our integration process and increase the value we realize from these stores. Moving on to Slide 6, we continue to build -- to enhance customer satisfaction, while making tremendous progress in effectively building and managing our online presence. Following the rollout of our customer satisfaction and online reputation management program across our entire store base almost a year ago, we are proud to report that our all-time average star rating has dramatically increased from 3.6 stars before we started this initiative to 4.5 stars currently. This was delivered by leveraging the feedback we collect from customer surveys and online reviews to drive targeted operational improvement in each of our stores. Importantly, these impressive customer satisfaction scores have been instrumental in driving improved search traffic and higher conversion. Turning to Slide 7, I would like to provide an update on our customer-centric engagement initiatives, starting with our data-driven marketing strategy. Our goal is to invest in higher ROI channels to meet our current and future customers where they are. We are, therefore, repurposing our marketing spend to invest in data-driven customer relationship marketing and customer acquisition campaigns. As a first step, we rolled out our data analytics-based CRM platform last quarter, with a focus on driving higher customer retention. While still in the early innings of our initiatives to optimize our marketing efforts, we are very encouraged by the strong results of the pilot campaigns we launched in the third quarter. By leveraging predictive analytics, we identified and targeted customers with a higher propensity to purchase our brake and tire offerings, which led to a notable increase in conversion. The next phase will consist of leveraging customer data and insights to deliver tailored messages and service recommendations to our customers based on their specific vehicle needs. Overall, we have been able to unlock key consumer insights and are confident that our data-driven marketing approach will allow us to develop long-term one-to-one customer relationships. As a next step, we plan on rolling out our initiative to drive new customer acquisitions in the fourth quarter. We have partnered with a customer analytics firm to provide market segmentation and demographic data specific to geographic areas in the vicinity of our Monro locations to identify high value potential customers and focus our marketing efforts on targeting them directly. We also intend to leverage this market segmentation and customer demographic information to assess our existing real estate portfolio, as well as identify key markets for acquisitions and greenfield expansion. Moving on to our omni-channel strategy and the development of our online presence, we are very pleased with the success of our modernized retail website launched last quarter. Improved content and functionalities are driving a better experience for our customers online while driving traffic to our stores, as evidenced by the 32% increase we experienced in online tire searches that led to appointments at our stores. We are also very encouraged to see the upgrade to a mobile capable architecture has led to an 80% increase in mobile phone conversion rates. Our website monetization lays a strong foundation for the final phase of our omni-channel build-out, which we expect to roll out in the second half of fiscal 2020. Once completed, our customers will be able to view and purchase tires online and seamlessly schedule an appointment for an in-store installation. At the beginning of the third quarter, we announced the expansion of our collaboration with Amazon.com to provide tire installation services to their customers at nearly 400 stores across 10 states. We are pleased with the smooth rollout of this program at these locations and are on track to make these services available to Amazon.com customers at all Monro retail locations across 28 states over the course of the next year. Turning to our initiatives to optimize our product and service offering, we are excited with the continued momentum of our Good-Better-Best merchandising strategy launched across our store base in the first quarter. Our Good-Better-Best assortments provide customers with clearly defined options relevant to all consumer price segments and allow for increased trade-up and attachment opportunities, which in turn is driving higher in-store conversion. Importantly, we have seen a significant increase in demand for brakes for the past three quarters and are pleased to report that the success of our brake packages translated into positive margin tailwinds once again this quarter. As part of our efforts to optimize our tire assortment, we are also looking towards expanding our tire offering with the introduction of new high-margin branded tires in the fourth quarter to build on the strength in our tire category and capitalize on additional margin expansion opportunities. Tires are an important part of Monro's business, given that they represent half of our sales, and we want to make sure we offer the right tires at the right price points for our customers. Lastly, I would like to provide an update on our productivity and team engagement initiatives. After rightsizing our overstaffed and understaffed stores over the past couple of quarters, the better optimization of our store technical -- or technician labor allowed us to achieve overall greater store efficiency in the third quarter, which also supported our gross margin expansion in the quarter. We anticipate that the next step in this journey will be the implementation of a cloud-based data-driven store staffing and scheduling system in the second quarter of fiscal 2020 to drive further staffing efficiency by more accurately re-balancing the level of technical skills in each store, ensuring our stores are staffed with technicians who have the appropriate skill level for the services required at that store. We have also launched our Monro University training program pilot, an important initiative in our strategy to attract and retain the right talent. We have developed a comprehensive cloud-based learning management system that will provide our teammates with both the technical skill set needed to effectively serve our customers today and ongoing high-quality training to handle future technician requirements as vehicles become more complex with the increased adoption of technology. Our employer value proposition is a key component of our Monro. Forward strategy, and the training program underscores our commitment to better support our 8,200 teammates. We recognize that teammate engagement and job satisfaction are essential to creating an exceptional guest experience, which is why we have aligned our teammates' business and developmental objectives accordingly. Leveraging our Monro University platform, we are keenly focused on making sure they have a clearly defined and transparent career path to grow both personally and professionally. We are proud to report that our strong commitment to support our teammates' professional development and the cultural changes we have made across the organization have had a tremendous impact on our ability to retain talent, as evidenced by our quarterly turnover reaching its lowest level since the fourth quarter of fiscal 2015. Our team is our biggest asset, and I would like to take a moment to thank our teammates across the organization for their hard work and dedication to our customers.  With that, I'll turn the call over to Brian, who will provide additional detail on our quarterly financial performance and full year outlook.
Brian D'Ambrosia: Thank you, Brett, and good morning, everyone. Turning to Slide 8 of the presentation, we delivered solid top line performance in the third quarter. Sales increased 8.5% year-over-year to $310.1 million, driven by sales from new stores of $19.8 million, including $14.3 million from recent acquisitions, and a comparable store sales increase of 3.3% when adjusted for one less selling day in the current year quarter due to a shift in the timing of the Christmas holiday from the fourth quarter in fiscal 2018 to the third quarter in fiscal 2019. This was offset by a decrease in sales from closed stores of approximately $1.3 million. The third quarter had 89 selling days compared to 90 in the prior year period. As of December 29, 2018, the company had 1,186 company-operated stores and 99 franchise locations, as compared with 1,138 company-operated stores and 103 franchise locations as of December 23, 2017. During the quarter, we added 9 company-operated stores and closed one. Gross margin increased 60 basis points to 38% in the third quarter of fiscal 2019 from 37.4% in the prior year period. This increase was largely due to continued benefit from our Good-Better-Best service packages and our optimized store staffing model, as well as a decrease in distribution and occupancy costs as a percentage of sales, as we gained leverage on these largely fixed costs with higher comparable store sales. This was partially offset by the impact of sales mix from the Free Service Tire acquisition. As we've previously noted, the commercial and wholesale locations we acquired as part of the Free Service Tire acquisition operate at a lower gross margin, primarily due to the higher sales mix of tires, and with respect to the wholesale business, higher sales mix of tires without installation. Operating expenses for the quarter increased $9.6 million and were $87.3 million, or 28.1% of sales, as compared with $77.7 million, or 27.2% of sales, for the prior year period. The year-over-year dollar increase includes $1.5 million in costs related to our Monro. Forward initiative, of which $0.4 million were onetime in nature, and includes 0.4 million in onetime costs associated with our corporate and field management realignment. The year-over-year dollar increase also reflects expenses from 48 net new stores and higher incentive base pay related to improved current year financial performance. As a reminder, operating expenses for the third quarter of fiscal 2018 included $2 million in litigation settlement costs and $0.7 million in management transition costs. Our operating income for the third quarter was $30.7 million, which increased by 4.8% as compared to operating income of $29.3 million for the same quarter last year, and decreased as a percentage of sales from 10.3% to 9.9%. Adjusted for the impact of the Christmas holiday shift, operating margin for the third quarter was flat at 10.3%. Net interest expense for the third quarter increased $0.7 million as compared to the same period last year. The weighted average debt outstanding for the third quarter of fiscal 2019, decreased by approximately $7 million as compared to the prior year period. This decrease is primarily related to a decrease in debt outstanding under our revolving credit facility, partially offset by an increase in capital lease debt recorded in connection with our fiscal 2018 and 2019 acquisition and greenfield expansion. The weighted average interest rate for the third quarter increased by approximately 70 basis points year-over-year, largely due to the higher LIBOR and prime interest rates. Our effective tax rate was 15.3% for the third quarter compared to 50.1% for the same period last year. The year-over-year decrease in our effective tax rate primarily resulted from the enactment in December 2017 of the Tax Cuts and Jobs Act, which reduced the U.S. Federal corporate income tax rate from 35% to 21%, and also just decreased the result of a onetime income tax benefit adjustment in the third quarter of fiscal 2019 and a onetime income tax expense adjustment in the prior year period. The onetime income tax benefit adjustment in the current quarter is related to a retroactive accounting method change related to certain deductions that the IRS accepted during an examination of our fiscal 2015 and fiscal 2016 tax returns. The method change resulted in additional tax deduction for the examination years instead of a deferral of such deductions in later years. An income tax benefit was recorded during the third quarter due to the difference in the federal tax rate of 35% that applies to the refund amount for the examination years, as compared to the federal tax rate of 21%, for which deferred tax accounting applies. The onetime income tax expense adjustment in the prior year period was related to the net impact of the implementation of the Tax Cuts and Jobs Act. Net income for the third quarter of $20.5 million increased 77% year-over-year. Diluted earnings per share increased 74.3% year-over-year to a third quarter record $0.61, including $0.01 per share of onetime costs related to Monro. Forward investments, $0.01 per share of non-recurring costs related to corporate and field management realignment, $0.04 per share negative impact from the Christmas holiday calendar shift, and $0.06 per share from the previously mentioned onetime income tax benefit. This compares to $0.35 in the prior year period, which included $0.15 of onetime costs, comprised of $0.01 per share in management transition costs, $0.04 per share in litigation settlement costs, and $0.10 per share related to the net impact of the newly enacted tax legislation. Excluding these onetime items, diluted earnings per share was $0.61 for the third quarter of fiscal 2019 compared to $0.50 in the prior year period, representing a 22% increase year-over-year. Turning to Slide 9, we continued to maintain our disciplined approach to capital allocation, while executing our strategy. Our Monro. Forward strategy is progressing on track, and we continue to expect an incremental $75 million in capital expenditures above our normal run rate over the next 5 years to support investments in store re-imaging and technology. Our capital expenditures were $31 million during the first 9 months of fiscal 2019, of which $5 million was related to investments in our Monro. Forward initiatives. Additionally, executing on accretive acquisition opportunities remains a pillar of our growth strategy, and during the first 9 months of fiscal 2019, we spent approximately $46 million on acquisitions, including 1 to 4 store acquisitions completed as part of our Greenfield expansion strategy. We are also maintaining our commitment to returning capital to shareholders through our dividend program and paid about $20 million in dividends during the first 9 months of fiscal 2019. Finally, we remain focused on maintaining a solid balance sheet with ample flexibility to support our growth and profitability initiatives. We ended the quarter with strong leverage ratios and have ample room under our financial covenant. We generated approximately $129 million of cash flow from operating activities during the first 9 months of fiscal 2019. Debt under our revolver decreased by approximately $28 million during the first 9 months of the fiscal year. Now turning to our outlook for fiscal 2019 on Slide 10. Based on current sales, business and economic trends and recently announced and completed acquisitions, we continue to expect fiscal 2019 sales to be in the range of $1,185 million to $1,215 million, an increase of 5.1% to 7.7% as compared to fiscal 2018 sales. Fiscal 2019 sales guidance continues to assume a comparable store sales increase of 1% to 3% on a 52-week basis. Please note, the fiscal 2019 is a 52-week year, while fiscal 2018 was a 53-week year and benefited from an extra week of sales in the fourth quarter. We continue to believe our strong fiscal year-to-date performance and the momentum of our Monro. Forward initiative position us well to achieve closer to the upper end of the range, likely between 2% to 3% comparable store sales increase, assuming normal winter weather conditions for the remainder of the fourth quarter. Similarly, we continue to believe we are well positioned to achieve our diluted earnings per share guidance and are therefore reiterating our expectation for earnings per share in the range of $2.30 to $2.40, representing earnings growth of 20% to 25%. This guidance includes approximately $0.01 to $0.03 in accretion from fiscal 2018 acquisition. Acquisitions made in fiscal 2019 are expected to be break-even to earnings per diluted share this year. Our guidance continues to assume stable overall tire and oil costs compared to fiscal 2018. In the phase of global tariffs and other material cost pressures, our vertically-integrated and diversified supply chain continues to drive our cost leadership position and remains a key differentiator in our industry. As previously mentioned, any tire and oil cost increases not mitigated by our differentiated supply chain are expected to be passed on to consumers. However, any such cost and related consumer price increases are not assumed in our fiscal 2019 guidance. Given these assumptions, we continue to expect to generate earnings growth on a comparable store sales increase above approximately 1%. At the midpoint of our guidance range, we expect an operating margin of approximately 11%, interest expense to be approximately $28 million, depreciation and amortization to be approximately $56 million, and EBITDA to be approximately $187 million. This guidance reflects an effective tax rate of approximately 22% and is based on 33.6 million diluted weighted average shares outstanding. As always, our guidance does not assume any future acquisitions or greenfield store openings. I'll now turn the call over to Brett to provide some closing remarks before we move to Q&A.
Brett Ponton: Thanks Brian. In summary, we had another strong quarter of execution, delivering our fourth consecutive quarter of comparable store sales growth and are encouraged by positive top line trends we experienced in the second half of January. Our Monro. Forward initiatives are shaping up nicely. We look forward to capitalizing on the success of our operational excellence and store re-image pilot program by expanding these efforts across our store base. Importantly, acquisitions remain a cornerstone of our growth strategy as evidenced by the new state we will add to our geographic footprint in the fourth quarter and $87 million in annualized sales from fiscal 2019 acquisitions. Looking ahead, we remain confident in our outlook for fiscal 2019 and in our ability to continue creating long-term value for our shareholders. With that, I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Brian Nagel with Oppenheimer and Company. Please proceed with your question. 
Brian Nagel: So, I want to start -- I've asked you this type of a question in the past, I want to ask again, just as we continue to push forward with the internal initiatives, but at the same time, the backdrop for your business -- your sector has clearly improved. So, if we look at the results today, how much of the continued acceleration, if you will, in comps you think relates to the internal initiatives versus an improved backdrop?
Brett Ponton: I think, Brian, I'll give you the consistent answer I've shared with you previously on this point. I think first of all, I want to give credit to our team internally. I think, they've done everything we've asked them to do and they've embraced the culture change and have been very supportive of the initiatives that we have driven over the past year. So, I'd like to give them credit, number one. Number two, I think starting last year, certainly the macro environment became more net favorable. Our first quarter had a favorable backdrop with a fairly harsh winter last year that created a good favorable environment for us throughout the spring selling season that helped contribute to our strong brake performance that led in, I think, to a strong summer, traditional summer season as well.  Rolling into our Q3, most recently here, as we talked about, certainly we got a little weather help early in November that probably drove some outsize performance in November when you look at snowfall in November year-on-year compared to last year, and then that reversed itself a little bit in December, as we saw. But from that, I'm encouraged by how we recovered in the second half of January and we're back on kind of a mid-single digit comp pace that we saw leading into the holiday season. So, I think it's always difficult to parse out. I want to give credit to our team, but also I think the macro has improved to somewhat normalcy, and certainly, the longer term view is, the car part continues to age and drive further opportunities for us in our cohort, which is 6 to 12-year old vehicles.
Brian Nagel: And then I have a follow-up. Now, It's kind of merged maybe two questions together here. With regard to the stores in your home market that you've retrofitted, you discussed this in your prepared comments, but maybe -- can you give us a better idea -- and I know it's early, but what we've seen as far as outperformance in those units now that they are -- been sort of, say, fixed up? And then a second question is -- it is more mechanical in nature, but you talked about the impact of the calendar shift on your fiscal Q3 comps and we discussed, I guess, Q4 to date comps. How is -- how does that calendar shift, if at all, affect what we've seen so far in Q4?
Brett Ponton: I'll take the first part and let Brian reply to the second part. So, related to the pilot stores in Rochester on the re-image, we completed that in its entirety, I would say, late November, end of December, Brian. So, it's really early innings of course when you look at more macro traffic/sales trends. There are some underlying metrics that we look at pretty hard. One is, let me bifurcate this, there's two parts of what we're doing when we re-image a market. Number one, we installed a new playbook, the new procedures in-store, and our expectation there is that would drive improved conversion in-store while driving higher customer satisfaction rates in the process. And we look at metrics, early indicators on that, we're seeing positive trends on customer satisfaction, net promoter score, as well as improved conversion that we saw with our initial pilot stores of four. As it relates to the re-image, we would expect that over time to help drive satisfaction, but also traffic trend improvements. And I think given the fact we just wrapped that up in late November, December, clearly it's too early on that. But, I think the, the metrics that we see underlying, customer satisfaction bode pretty well for how we would expect that translate into traffic trends going forward. I'll let Brian comment on the calendar shift.
Brian D'Ambrosia: Yes. So, as far as it goes with the 2%, that 2% that Brett talked about is the reported number. He also commented in his prepared remarks that, that number is helped by -- about 300 basis points were the extra day that we've had in January with the calendar shift. I think if you look at the way kind of the quarter set up, we were up about 7 in October, up about 7 in November, down 6 adjusted for days in December, probably down low-single digits in the first part of January when we had that consistently mild weather that we saw also in December. And then once we got a little bit of harsher weather later in the month, that's what Brett said, we've been up about mid-single digits since then. So, clearly that, that run up to the holiday and that softness right after the holiday correlate pretty closely to the weather we saw. We're encouraged that the trends we're seeing now are kind of re-reflective of what we saw back in October and November.
Operator: Our next question comes from the line of John Healy with Northcoast Research. Please proceed with your question.
John Healy: Brett, I want to ask you a little bit about your comment about the changing of the tire mix a little bit. And it sounded like to me that you guys were planning on mixing up the tires and maybe going towards a little bit more premium. So, I was hoping to understand kind of what's really the operational strategy there and why going higher for your customer mix is it the right move?
Brett Ponton: I don't know that if we necessarily imply that John, but let me give you some context on how we think about the tire category. Today, we currently do business with north of 10 different tire manufacturers, and there, I'll give you some color on the pricing environment. Certainly, in the last quarter of last year, we saw some tire manufacturers take some pricing actions. Given our scale and our size, of course, we feel like we're well positioned to mitigate vast majority of those. But certainly, I wouldn't characterize those price increases as industry-wide. We have some suppliers of ours that chose not to take price, others that have. Given our size and scale, we're using this as an opportunity to kind of reassess our product assortment and realign potentially in areas that create the best value for us and our consumers. It doesn't necessarily mean trying to shift our strategy up or down in the product stream. Just overall, we're going to look for the best options available for us to create the best value for consumers and Monro. The second part that we're looking at doing, that we'll rollout next year, is really looking for ways we can become more efficient on opening price point tires. So, we're evaluating right now the opportunities to consolidate, become more efficient on the lower end of our product screen that creates more flexibility in our product screen on, call it, tier 3, tier 2 and tier 1 tires, again, leveraging the portfolio of manufacturers that we have to consider from.
John Healy: And I just wanted to ask a clarification question. I thought you mentioned that as we started 4Q in January, comps were running up 2% or so. Is that on a same day basis, or is there any movements of the days that are either helping or hurting that 2% number?
Brian D'Ambrosia: Yes, that 2% is as reported. It's helped by about 300 basis points related to an extra day because of the shift.
Brett Ponton: Hi, John, maybe just to add some color there, as we mentioned previously there, we kind of see the month January in two parts of the month; the first part of the month was quite a bit softer, the second part of the month, we saw demand pick up mid-single digits, which is kind of in line with what we saw, call it, October, November. So, clearly the holiday period created some challenges and softness for us. But exiting that second half of the month of January, we've seen kind of a normalcy or return to normalcy that we saw leading in.
John Healy: And then just one final question, coming off probably what's been a better calendar year for folks in the industry, is that helping or is that hurting your M&A pipeline, do you think?
Brett Ponton: And I can say that our pipeline has never been as robust as it has been for me since I've been here at Monro. So, despite maybe a little more favorable calendar year, I think, now that the tax law certainty has kind of flushed its way through, our M&A activity is very robust and our pipeline is very active. So, we feel very good about our growth prospects going forward.
Operator: Thank you. Our next question comes from the line of Bret Jordan with Jefferies. Please proceed with your question. 
Bret Jordan: Just follow up on the Amazon partnership. Maybe if you can talk about how many stores we're doing now and what we're seeing as far as maybe attached sales as those customers are coming in, how that Amazon customer profile differs from other, either online referral or core customers?
Brett Ponton: Yes. Sure, Bret, I'll take it. Look, maybe, before I dive into the specifics on that, I'd like to maybe just reiterate why we're doing Amazon. So, I think -- in our business at Monro, we believe we're a value-added retailer/service providera real strong brick and mortar presence, and we think tires, like other services for your car that require installation or value-added provided to it, lends itself well for Monro and other brick and mortar suppliers out there to participate. So, you couple that with pretty low penetration rate today of tires being bought online by consumers and our current strategy, right, we felt pretty compelled to go and partner with Amazon as we did with others. As it relates to Amazon, we won't comment specifically around why or how those particular programs are performing, Bret. But in general, I'll say this, right, we're still pleased with the relationship with Amazon as well as others. We can't give out any details of course, but in its entirety, we still believe supporting online installers gives us the opportunity to do 3 or 4 things: one is, drive incremental traffic to our stores; two, participate in the high value-added services that comes with installation, gives us the attachment rate.  Now, I'll just reiterate what we've shared before as a general comment about the attachment rate and profitability, but our average ticket overall as a company is $160 plus. The average ticket that we see on a tire installation is north of $120. The nature of those services are dramatically different, of course. The $120 ticket is very high margin, high labor content. So, generally speaking, it's still early innings, but we still feel pretty good about the economics in line with what we see with the broader program. As I made comments in the prepared remarks, we currently stand at 400 stores with Amazon and we're going to look to partner with them over the calendar year here to expand that to all 1,200 stores of ours going forward.
Bret Jordan: And then one quick follow-up question, also on the M&A, are you seeing anything changing as far as valuation expectations? And as you're doing deals now, are the sellers expecting more?
Brett Ponton: No, I won't say really status quo, but we've seen -- quarter to quarter, it's been a pretty stable environment in terms of, let's say, valuations. But the activity, certainly for us, certainly has picked up in the last quarter in particular.
Bret Jordan: And I guess just on that topic, I mean, obviously since you've been there now for a bit over a year, the prior management team used to talk about 7 times , 8 times EBITDA or x percent of sales or replacement cost, what is your thought as far as expected valuation ranges on deals?
Brett Ponton: Yes, one thing that I don't want to do going forward is kind of signal what our valuation process is. But I think we can share with you, we typically see two turns to four turns of synergies whenever we acquire companies. And given the emphasis that we're placing on driving standardization and consistency in our stores, we feel like there's opportunities to expand those synergies going forward by driving not just cost synergies, but revenue synergies when we acquire companies.
Operator: Our next question comes from the line of Rick Nelson with Stephens Inc. Please proceed with question.
Rick Nelson: Brett, just to follow up on acquisitions and the pipeline, I'm curious if you're facing more competition these days for deals [indiscernible] 5 to 40 stores, so you could put some revenue brackets around that, that would be helpful, whether you're shopping primarily in northern markets or southern markets?
Brett Ponton: Let's talk first about maybe the markets. As you saw with our recent announcement, we've now entered Louisiana in our quest to continue to diversify our store footprint and target the Sunbelt, if you will, the growing demographic areas of our country. And look, we're going to continue to do that going forward. Related to competition, look, I would characterize really no change there; no more, no last, just status quo. Certainly, there's a number of players out there competing for deals. We still feel like Monro represents a great opportunity for owners to exit their business and to create opportunities for their people to grow and develop. We feel like we're a good credible buyer. And with the synergies I mentioned now that we would expect to see both on cost and top line, we feel like we're going to remain a real strong buyer going forward.
Rick Nelson: Perhaps a question for Brian on the tax rate, 15%, came in below where we were. When you talk about some of the one-timers involved there, how should we think about the tax rate in your March quarter and as we push into next year?
Brian D'Ambrosia: Yes, I think, in our guidance, we guided to a 22% rate for the year. And for next year, I would anticipate it to be a little bit north of that, just because we obviously won't have the benefit of the onetime item this year. So, I would expect that to be closer to the 24% that we had originally guided to this year.
Rick Nelson: And just to follow up on the January, I know you discussed the weather challenge really in the quarter changed for the back end of the quarter. Is there anything else in January that you think could be impacting that [Indiscernible] from some other retailers, maybe the government shut down had some impact in the first half. I'd like to get your commentary there.
Brett Ponton: Yes, good question, Rick. Maybe a couple of things. Look, I know, I always hate to talk about the weather and we tell our team that internally, we don't like to talk about the weather. But I will say we do monitor, we measure, we analyze weather and the correlation it does have on our business, and in particular our tire business. And as we talked about earlier, we did see maybe some demand pull in November, given the fact the snowfall came early year-on-year. That reversed itself in December. And certainly, the early part of January was softer from a weather point of view year-on-year. The other dynamic that we saw, I think, around the holiday was certainly some softness that maybe other retailers have talked about during the holiday season itself. And I would book in that around a couple of weeks leading into the holiday season and a couple of weeks leading out of, so we certainly saw a reversal and back to kind of mid-single digit normalcy for us in the second half of January. We have studied pretty significantly the government shutdown. Tough to determine, of course, in macro, the impact of that, given the dispersed nature of the employees everywhere. But we do have a pretty high concentration of stores, high-volume stores in the Washington D.C. area. And Brian, do you want to provide any color on that?
Brian D'Ambrosia: Yes. So, we looked at our stores in the Baltimore-D. C. area, which are primarily our Mr. Tire stores, and during the shutdown, while this isn't going to have a big needle mover on the consolidated entity, but what we did see though at the store level was, we saw some significant traffic and sales declines versus the benchmark, other parts of that geography as well as the chain -- the tire chain as well as the Company as a whole. So, it did have an impact on the stores and the operations in the greater D.C.-Baltimore area. But as you roll it all up, really not a large needle mover in total.
Operator: Thank you. Our next question comes from the line of Stephanie Benjamin with SunTrust Robinson Humphrey. Please proceed with your question.
Stephanie Benjamin: I had -- first just as a quick clarification, when you spoke about the launch of the new operating procedures, is that -- you know, the educational selling approach, is that across just those 31 stores you refreshed or is that Company-wide that you launched those new procedures?
Brett Ponton: Yes. It's a good question, Stephanie. that was launched just across the 31 stores in Rochester. So, we wanted to pilot the procedures. We call it the playbook, by the way. So, regardless of what banner is on the outside of our building, whether it's a Mr. Tire, a Monro or a Tire Choice, the procedures that we execute in-store are going to be consistent across our 1,200 locations. So, we're piloting two things, one is the playbook and two is the actual re-imaging to the brand standards in Rochester, but it only happened in those first 31. The playbook will roll out at a much faster pace over the next couple of years than the re-image, just given the ease of execution there. But at this stage, right now, we're just at 31 stores with the new playbook.
Stephanie Benjamin: And then, is there an opportunity, based on the results of these first 31 stores, or even as you kind of move to, like you said, re-imaging some of the newer -- newly acquired stores to really kind of accelerate the re-imagining or any of this? Or is it kind of set in that 3 to 5 year timeline?
Brett Ponton: I think, we're being pretty methodical about this, as you can tell. First step for us was to pilot it, and we're piloting for two reasons; one, just refine the procedures to where we can then get them to scale. The second thing is, we wanted to value engineer all the investments that we're making in the store, from fixtures to signage, et cetera. As I had made comments in our prepared remarks, we're in the process now of running request for proposals to leverage our scale now to do this across our portfolio, and that work is going to be completed by the end of this quarter. We'll then start up re-imagining in Q2. And I think Q2, how fast we move across the 70 stores we have planned -- excuse me, in our first quarter of next year, I should have said -- how well that goes will determine the pace from that point forward, that we'll determine. But at this stage, I think, it's still too new.
Operator: Thank you. Mr. Ponton, there are no further questions at this time. I'll turn the floor back to you for any final comments.
Brett Ponton: Okay. Thank you all for joining us today and for your continued interest and support of Monro. We are pleased with our solid year-to-date performance and the continued momentum of our Monro. Forward strategy. We are excited about the opportunities ahead of us and look forward to updating you all on our progress at year end. Have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.